Operator: Good day and welcome to this Era Announced First Quarter 2016 Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Shefali Shah, General Counsel. Please go ahead.
Shefali Shah: Thank you, Shannon. Good morning everyone and thank you for joining Era's first quarter 2016 earnings call. I am here today with our President and CEO, Chris Bradshaw; our Senior Vice President and Chief Financial Officer, Andy Puhala; our Senior Vice President, Operations and Fleet Management, Stuart Stavley; our Senior Vice President, Commercial, Paul White; our Vice President and Chief Accounting Officer, Jennifer Whalen; and our Director of Corporate Development and Finance, Matt McCarville. If you have not already done so, I would encourage you to access our earnings press release for the first quarter of 2016 and the presentation slides available under the Investor Relations link on our web site, eragroupinc.com, and on the SEC web site, sec.gov. Please note, we will discuss forward-looking statements that are subject to a number of risks, uncertainties and other factors that could cause actual results to differ materially from those expressed in, or implied by, the forward-looking statements, as described in our most recent Annual Report on Form 10-K, our subsequent quarterly reports on Form 10-Q and the other filings we make with the SEC. In addition, we will discuss non-GAAP financial measures, such as adjusted EBITDA. Please refer to our earnings release or the presentation for the calculation of these measures and the appropriate GAAP reconciliation. I'd now like to turn the call over to our President and CEO, Chris Bradshaw. Chris?
Chris Bradshaw: Thank you, Shefali, and welcome to the call everyone. As always, I would like to begin with a discussion on safety, which is our most important core value and remains the highest operational priority for our customers and Era. I want to thank everyone at Era for their diligence in achieving our objective of zero air accidents in Q1 2016, extending the clean sheet of zero air accidents in full years 2014 and 2015. On a sad note, as many of you are already aware, an accident occurred outside of Bergen, Norway last Friday, April 29; involving in Airbus helicopters H225 operated by another helicopter company. There were two crew members and 11 passengers on board, and 13 fatalities were reported. This tragic loss of life is felt deeply by everyone in the offshore community. On behalf of everyone at Era, I would like to extend our heartfelt sympathies to the families, friends and colleagues of those who were lost in the accident. The cause of the accident is not yet known and is under investigation by the relevant authorities. In response to this accident, each of the Norwegian and U.K. Civil Aviation Authorities issued safety directives requiring operators to suspend public transport flights and commercial air transport operations of all EC225 LP model, also known as H225 helicopters, in those countries. The safety directives permit continued search and rescue flights. In addition, operators and customers in other countries have temporarily suspended H225 operations, pending further information regarding the cause of the accident. Era owns nine H225 helicopters, including five that are currently located in the U.S., three that are currently located in Brazil, and one that is currently on a dry-lease contract with a customer in Norway, for search and rescue operations. During the suspension of H225 operations, we expect to utilize other heavy and medium helicopters to service our operating customers' needs, and we expect to continue to earn revenues from the helicopter on dry-lease. As such, we expect the suspensions to have limited impact on our near term financial results. More than ever, Era remains staunchly committed to our leadership role in HeliOffshore. We co-founded that organization, along with the other major offshore operators, with the goal of improving safety in the global offshore helicopter industry, through collaboration and sharing of information and best practices. The HeliOffshore community will be gathering later this month for its second annual conference to continue this important mission. Turning briefly to the highlights of Era's Q1 results, I am pleased to report that, despite the challenging conditions in the oil and gas industry, Era generated positive operating cash flow of almost $15 million in the quarter. If you include the $2.6 million of net cash provided by investing activities, the company generated over $17 million of free cash flow. Given the uncertainty regarding the severity and duration of the market downturn, we will continue to prioritize the protection of our strong balance sheet and liquidity position. As such, we accumulated cash to increase our total liquidity position to $240 million as of quarter end. I will now turn it over to our CFO, Andy Puhala, to provide a review of our Q1 finance results. Andy?
Andy Puhala: Thanks Chris. Q1 is historically our weakest quarter, with no flight-seeing activities or other seasonal work, as well as poor weather conditions and fewer hours of daylight, which impact oil and gas operations. Q1 of this year was no different. For the quarter ended Q1 of 2016, we reported a net loss of $3.8 million or $0.19 per diluted share on operating revenues of $63 million. Compared to breakeven income on operating revenues of $67 million in Q1 of 2015. As we mentioned in our last call, beginning in the fourth quarter of last year, based on a change in the ownership of our Brazilian joint venture Aeróleo, we now include Aeróleo's results in our consolidated financials. Prior to that, Aeróleo was treated as an equity investment and we recognize revenue, only when cash was received from the JV. This accounting change makes the year-over-year comparison less straightforward. For comparative purposes, Aeróleo recognized revenues of $14 million in Q1 of 2016, which is included in our international oil and gas line of service. In Q1 of 2015, we recognized $6.2 million of revenues from Aeróleo, based on the cash received, and these revenues were included in our dry-leasing line of service. Excluding the revenues from Aeróleo and the FBO from both periods, revenue was down $10.5 million or 18% versus Q1 of 2015, primarily due to fewer helicopters on contract and lower average rates, driven by the low commodity price environment. Operating expenses were $44.3 million in the quarter, an increase of $700,000 from Q1 of 2015. The consolidation of Aeróleo added $7.5 million of expenses versus the prior year quarter. Excluding Aeróleo, operating expenses were $36.8 million, a decrease of $6.8 million or 16%, due to lower fuel, insurance, personnel and other operating costs. SG&A expenses were $0.5 million lower in the quarter; the consolidation of Aeróleo added $1 million to SG&A. Excluding Aeróleo, SG&A expenses decreased $1.5 million or 15%, primarily due to lower headcount, the elimination of shared services fees, and other cost control measures. In the quarter, we continue to execute our stated strategy of selling helicopters and other assets that don't meet our anticipated future needs or when it presents the best return of opportunity for the asset. We received total proceeds of $4 million and recorded gains on the sale of helicopters and other related assets of $2.9 million. EBITDA was $12.2 million in the quarter, compared to $14.6 million in Q1 of 2015. Adjusted EBITDA, excluding gains on asset sales and special items was $9.3 million in the quarter, representing a 15% EBITDA margin, compared to $11 million, a 16% margin in the prior year quarter. Now, looking sequentially; revenues were down $11.4 million or 15% versus Q4 of 2015. The Gulf of Mexico was down $3.6 million or 9%, primarily due to lower utilization and lower average pricing. Alaska was down $2.4 million or 72%, due to contracts that ended. Brazil accounted for $4.8 million of the overall reduction, also due to the end of contracts in December. Operating expenses were down $800,000 or 2% sequentially, due to lower personnel costs and fewer flight hours, partially offset by higher air and maintenance expenses and insurance costs, due to vendor and insurance credits recognized in Q4 of 2015. Administrative and general expenses were down $1.8 million or 17% sequentially, due to the write-off of a receivable in Q4, as well as lower professional fees and other cost cutting measures. Moving for a moment to the balance sheet and our liquidity, we generated $15 million of cash from operations during the quarter, and increased our cash balances to $31 million, bringing our total liquidity to $240 million, an $18 million improvement from the end of 2015. We have been able to maintain good liquidity throughout the cycle and continue to have sufficient liquidity to manage through a prolonged downturn. Our leverage metrics, as defined in our credit facility, remain well within our covenant requirements. Our revolving credit facility includes covenants that require us to maintain funded debt-to-EBITDA of five to one or less, and interest coverage of not less than three to one. Our funded debt-to-EBITDA is currently 2.8 times and our interest coverage ratio is currently 7.2 times, using the covenant definition in our facility. As discussed previously, the definition of EBITDA, as calculated for covenant purposes under our facility, includes the proceeds on asset sales, rather than the gains. At this time, I will turn the call back to Chris, for some concluding remarks. Chris?
Chris Bradshaw: Thank you, Andy. In conclusion, we believe the challenging industry conditions and the offshore oil and gas helicopter market are likely to persist for the next several quarters. We continue to believe that 2016, will be an even more difficult year than 2015. We remain focused on maintaining the best safety standards, maximizing the utilization of our helicopter fleet, realizing efficiencies in our cost structure and protection our balance sheet and liquidity position. With that, let's open the line for questions. Operator?
Operator: [Operator Instructions]. And will take our first question from Cameron Schnier with Evercore ISI.
Cameron Schnier: Hey, good morning guys.
Chris Bradshaw: Good morning Cameron.
Cameron Schnier: Can you tell us how many 225s were actually working prior to the suspension? I assume the three in Brazil were still off contract [indiscernible] and do you expect any sort of reimbursement from Airbus, while the 225s are grounded?
Chris Bradshaw: Consistent with our longstanding disclosure policy, we are not going to comment on the contract status of specific aircraft. But what we will say, is that for the one 225 on dry lease, the terms of that agreement require the lessee to continue to pay us the revenues, regardless of whether or not the helicopter is flying. For those that are under operating contracts, we are backing them up with other medium and heavy aircraft models. This is actually proving the strength of the diversity of our helicopter fleet. In the Gulf of Mexico, we are the only truly diversified heavy helicopter operator, with not just 225s, but also S92s and 189s. The temporary suspension that's occurring now is actually proving the mettle of the 189, as those are proving to be very useful and backing up the 225s. So we are pleased with the diversity of the fleet and the fact that really is coming to bear here during the suspension period. In terms of the Airbus impact, it is way too preliminary in the investigation to comment on that. It will depend upon the ultimate outcome and the investigation, whether it is determined to be something that relates to the entire global 225 fleet, or something that was specific to the aircraft involved in the accident.
Cameron Schnier: Okay, fair enough. And on a different note, can you sort of walk through what happened with Aeróleo in terms of -- it seems like OpEx was stickier than expected and gross margins took a pretty big hit. Is there still some sort of like a cash drag from the expiring 225 contracts or something else going on there?
Andy Puhala: Yeah Cameron, this is Andy. There was a $4.8 million revenue decrease sequentially with Aeróleo and that really was a result of the conclusion of the contracts that you referred to for the 225s earlier. In addition to that, you know, for a variety of factors, including the labor unions in Brazil and things of that nature, it's difficult to adjust the cost structure as quickly in Brazil as we may like. So I think there is some future cost reduction activity still to go in Brazil, to bring the costs in line with the current revenue levels. We did reduce headcount by about 17%, since we received notification of the 225 contract terminations late last year. But again, I think there is still some more to come. On a cash basis, Brazil is a net contributor.
Cameron Schnier: Okay. Thanks.
Chris Bradshaw: Thank you.
Operator: We will take our next question from Bill Mastoris with Baird and Company.
Bill Mastoris: Thank you. Andy, I wondered if you could give us an idea of how we should be thinking about what the adequate level of liquidity is, as you kind of navigate through some pretty challenging economic conditions here? And then kind of a quick follow-up, given that you have been free cash flow for the past several quarters, again, under these conditions, would it be a fair assessment to say that you would be free cash flow really for the balance of 2016, given your flexibility, particularly, with regard to your forward commitments?
Andy Puhala: Sure Bill. In terms of the appropriate amount of liquidity, in this environment, we don't feel like you can have too much liquidity. And so we are really prioritizing liquidity over some other things at this point. Having said that, we are very comfortable with the amount that we have today, and we think that its sufficient. That as we mentioned in our prepared remarks, its sufficient to help us -- allow us to manage through a really prolonged downturn. So we are comfortable with where that is today. The second part of your question, in terms of, I guess, remind me the -- was it the buyback of debt?
Bill Mastoris: Well, that was kind of the follow-up, but yeah, maybe we could include the buyback of debt there. But it had to with, really, do you expect to be free cash flow for the balance of the year, given really the past several quarters?
Andy Puhala: Yeah. Okay, thank you. We continue to generate cash flow from operations, and Q1, as we pointed out is our seasonal low, and we were still able to generate pretty sufficient free cash flow during that period. So the answer is yes, based on what we see today, we expect to be able to generate free cash flow for the remainder of the year.
Bill Mastoris: Okay. And on the debt buyback, if there is any excess cash, would any of that be towards, maybe strengthening the balance sheet a little bit further?
Chris Bradshaw: Yeah Bill, thanks for the question. Chris here. During Q1, we didn't repurchase any senior notes, as the priority was placed on building the cash balance and enhancing our liquidity position to $240 million at quarter end. That doesn't mean that we are done buying back the senior notes. We will continue to evaluate additional note repurchases on an opportunistic basis, and view that as an attractive use of capital.
Bill Mastoris: Okay. Thank you.
Chris Bradshaw: Thank you.
Operator: Next question comes from Adam Ritzer with Pressprich.
Adam Ritzer: Hi, good morning. How are you guys?
Chris Bradshaw: Good morning Adam.
Adam Ritzer: You see, I have a variety of questions, so I will just kind of skip around. In terms of your CapEx needs, I guess, in terms of just your requirements, you are saying 2016 is $13.4 million. How much of that did you spend in Q1, if any?
Chris Bradshaw: None of that was expended in Q1.
Adam Ritzer: Okay. So beyond a $13.4 million, what are the other CapEx needs, if any, for this year?
Chris Bradshaw: We do have ongoing capital needs for facilities, repairs, that are due at our bases, the hangars and other facilities that we have, as well as replacement of ground support equipment. The good news, is that we have some discretion, as to how those dollars are spent, and if things get tighter, there's further deterioration in the market, we can delay some of those expenditures as needed.
Adam Ritzer: So how much do you think that is -- is that a few million? Just could you give us a little bit of a range on that?
Chris Bradshaw: We don't provide guidance, but if you look at some of the historical disclosures that we have provided in various investor presentations, not in today's earnings reports, but some of the past ones, we do break out helicopter spend versus other more maintenance CapEx. And what you will see on a historical basis, is that it has been a single digit number over the years.
Adam Ritzer: Okay. And 2017, is there anything left in terms of commitments?
Chris Bradshaw: A similar amount to what we are spending in 2016, and then a couple of million dollars that would be due in 2018. So it's a double -- about $28 million in firm capital commitments that are remaining today.
Adam Ritzer: Got it. Okay, that's pretty good. In terms of the accident, I know a couple of years ago, when there was another EC225 accident. They are actually -- I guess, there were some costs for us, because of moving helicopters around, substituting helicopters, things like that. Is it because some of the helicopters we have right now are grounded, where you could just use those to replace EC225s?
Chris Bradshaw: We don't anticipate any material costs as of today, related to the suspension. As you pointed out, we do have some available aircraft, other heavies and some mediums that can be used to back up the 225s. As such, we don't expect, as of what we know today, the temporary suspension of the 225s, to have a material impact on our financial results.
Adam Ritzer: Got it. One thing I noticed is, your interest expense year-over-year is up almost $2 million, yet you have bought back $15 million of debt. Could you explain how that's happening?
Andy Puhala: Adam, this is Andy. That's capitalized interest. We were capitalizing interest on the construction of helicopters last year, and with the acceptance of the two S92s and two 189s in Q4, we are no longer capitalizing interest to those assets. And that's really the answer, it’s a reduction in capitalized interest.
Adam Ritzer: Okay. So the current -- this level of interest expense is a good run rate to use going forward and figuring out your free cash?
Andy Puhala: Yeah. That's a fairly good run rate. Obviously subject to some of the things that Chris mentioned in terms of you know, the prospects for future debt buybacks of course.
Adam Ritzer: Sure. Of course. And cash taxes, still pretty much next to nothing?
Andy Puhala: Yeah no cash taxes are expected in 2016.
Adam Ritzer: Got it. And then my last question, I am sorry to ask so many things; in terms of contracts rolling off this year and next year, is there anything that we should be made aware of?
Chris Bradshaw: Adam, we don't comment on specific contracts. However, we have talked a bit about the BSEE contract, given the materiality of that relationship to the company. My reminder to those on the call, we are on the second of the five year contract, exclusive contract with the Bureau of Safety and Environmental enforcement to transport their inspectors to the offshore installations that they are required by regulation, to inspect. That contract is set to expire at the end of September this year. The bids have been submitted. We expect to hear some time in the short to medium term, about the results. But we are optimistic, given the competitive bid that we submitted and the track record that we have in providing safe, efficient and reliable service to BSEE.
Adam Ritzer: Got it. How many helicopters do you have under that contract?
Chris Bradshaw: It’s a couple dozen, as well as requirements for auctioning helicopters from time-to-time.
Adam Ritzer: And are these light helicopters or mediums?
Chris Bradshaw: That's right. They are generally either single engine or light twin helicopters. Because of the fact, you are only taking two-three inspectors at a time, you are able to cover even the expanded distances of the Gulf of Mexico, with the light twin or single engine helicopter for those missions.
Adam Ritzer: Got it. Okay. Thanks very much.
Chris Bradshaw: Thank you.
Operator: Next question comes from Steve O’Hara with Sidoti and Company.
Steve O’Hara: Hi, good morning.
Chris Bradshaw: Good morning Steve.
Steve O’Hara: I was curious. Just when you -- I guess, when these aircraft are parked, if they are parked, the 225s; do you continue to depreciate them or do you -- are they kind of out of service and then, maybe you pause that accounting as well?
Chris Bradshaw: It really depends on the duration of the suspension Steve. Based upon what we know today, we have not taken them out of operational status and have not suspended depreciation on those assets.
Steve O’Hara: Okay. And then, just curious, maybe your take on the industry and -- I mean, do you think, the industry is kind of doing everything it can to maybe sort of combat the times we are in here, or I mean, do you think maybe the industry could do more to maybe be a little bit more disciplined and maybe capacity deployment or pricing or something like that?
Chris Bradshaw: It is a challenging period of time for all of us that are servicing the oil and gas industry, including those of us in the helicopter space, where we do have, as we have talked about, an excess supply, particularly of the heavy models and to a lesser extent, medium helicopters around the world. If you look at [indiscernible] fleet and the heavy helicopters that we have, and for the most part, the medium helicopters in our fleet, we do have young, new generation aircraft. There are other aircraft in the industry, thinking about the older Super Puma models that obviously are a little longer in the tooth [ph] and perhaps could be phased out over time. The timing of how those aircraft are taken out of competitive bids for future oil and gas contracts, will play a big role in determining how quickly these excess supply is able to be worked off, when the market does recover.
Steve O’Hara: Okay. So it sounds like there is maybe a decent number of cheap buller [ph] helicopters kind of hanging in there, maybe on the assumption or hope that things turn around and there is really no -- maybe it’s a positive MPV to kind of keep it out there, just in case. Okay, all right. Thank you very much.
Chris Bradshaw: Thanks Steve.
Operator: Next question comes from DeForest Hinman with Walthausen and Company.
DeForest Hinman: Hi. Couple of questions; on the personnel costs, maybe looking at it different ways in percent of revenues; is the uptick to the 27.4% more a function of the seasonality in the business, now that we have a combined Era and Aeróleo or is there still actions that need to be taken to kind of get that first quarter percentage of revenue adjusted more to a historic level?
Chris Bradshaw: I think DeForest, the headcount in the U.S. is right sized to the level of revenue that we have today. I think as we mentioned previously, in Brazil, there is probably some further opportunities for workforce reductions, as we move forward. And also because it is Q1 that you are looking at, I don't know if you are looking at a sequential or a year-over-year comparison, but we do carry some personnel expenses that are not necessarily generating as much revenue in Q1, given the seasonality of the business.
DeForest Hinman: Okay. And then, looking at the capital management; you know, very important in this part of the cycle. I think you talked about wanting to improve the liquidity in the first quarter, but can you help me understand the thought process around building cash as the price of your senior notes traded off during the first quarter, to fairly low levels, and we were active buying bonds in the fourth quarter. So is there just not enough liquidity, or -- I just need help understanding that, because if you are using a $0.20 discount on your bonds and there is liquidity behind them, you have no borrowings. You can lever up your revolver and kind of pick away [ph] some of those senior bonds. Help me understand that decision with that type of discount that you are seeing there?
Chris Bradshaw: Sure. So first some technical notes; because its Q1 and we take longer to file a 10-K, we were under a black-out period for the first two months of the year. The open trading window for us was during the month of March, if you can recall back a couple of months to March, this was a period of time when the oil price was actually rallying quite a bit. In addition to the oil market, the high yield market, at large, was experiencing fund flows back into that segment of the market and the overall high yield bond prices, moved up considerably. This was even more pronounced for energy related names, including Era. And so our bonds actually rallied quite a bit during the open trading window in March. We noticed that there were buyers away from us in the market, that were bidding up the price of bonds. From a strategic standpoint, we did note the preference to build liquidity, during Q1, given the uncertainty around the ultimate duration and severity of the ongoing market downturn. That doesn't mean, we are done buying back bonds though. We are going to continue to look at senior note repurchases, and we will pursue them, when we see those opportunities present themselves.
DeForest Hinman: Okay. So strategically, is around $30 million of cash kind of the magic number we are looking to hold, or does it need to be higher than that, and then once we hit that level, do we more aggressively pursue paying down senior notes or trying to buy some of those senior notes, and then pay down the revolver?
Chris Bradshaw: We are not going to speak to a magic number, but we do feel comfortable with the liquidity that we have today, with the cash and the bank and think that we are in a position now, where we can look at other opportunities when they present themselves.
DeForest Hinman: Okay. Thank you.
Operator: And we do have a follow-up from Bill Mastoris with Baird and Company.
Bill Mastoris: Thank you. Andy, I just want to make sure I heard you correctly. For the balance of this year, you have $28 million in CapEx. Did I hear that correctly? I think that was in response to an earlier question?
Andy Puhala: Bill, for the balance of 2016, we have about $13 million of non-cancelable commitments towards aircraft. And then, in addition to that, there will be some minor things that Chris mentioned, things like base repairs and other non-aircraft related CapEx. But the number of aircraft is $13 million, that's non-cancelable this year.
Bill Mastoris: Okay. And total CapEx would be 28, is that a correct number?
Andy Puhala: Total non-cancelable is 28, but that's over the next three years. So about $13 million this year, about $12 million next year, and then a few million the year after that.
Bill Mastoris: Okay. Then a very quick follow-up, in your earnings summary; you mentioned that you are out there with competitive bids, and maybe, industries that don't fall into your traditional buckets. I am just wondering, have you won any of those, should we expect to see some wins at some point down the road? Any color that you could provide, would be greatly appreciated.
Chris Bradshaw: We are pleased with some recent commercial successes that we have had. We have added some new customers to Era, both in our existing geographies, as well as you may have seen in our press release, noticed, that we are operating in certain -- we are not going to comment on a contract-by-contract basis, but as those contracts which have been won, commence operations and start to impact the financial results in future periods, we will provide variance information at that point in time.
Bill Mastoris: Okay. Thank you.
Operator: Next question comes from Oscar Olivas with Wells Capital Management.
Oscar Olivas: Good morning guys. I had a few clarification questions.
Chris Bradshaw: Good morning Oscar.
Oscar Olivas: Is your entire EC225 fleet grounded today?
Chris Bradshaw: So they are not grounded. Grounded is actually a technical term. But for all of our 225 helicopters, we have chosen to voluntarily suspend operations of those aircraft at this time. We do have the one 225 on dry lease in Norway, which we noted. That is a search and rescue configured helicopter, and therefore has a permitted exception under the safety directives, that have suspended operations in that country.
Oscar Olivas: Okay. That makes sense. I know you have disclosed the non-cancelable part of your CapEx for newbuilds. Has the total committed amount changed over the last quarter or is it basically the same quarter-over-quarter?
Chris Bradshaw: Practically the same. There are some minor changes due to FX, because some of those commitments are not in U.S. dollars, but essentially the same commitments.
Oscar Olivas: Okay. At what point will you make the decision to not go forward with the part that you're still tracking? As committed but cancelable?
Chris Bradshaw: We have certain dates that exist in those commercial agreements, that allow us to wait until those dates to exercise the options. As you know better than us, a lot of the value and option is tied to the time value. So we are not going to take that hard one optionality away from ourselves. Suffice to say, if we had to make the decision today, we would -- based upon current market admissions, we would cancel all of the cancelable commitments. But we are not going to take that optionality away from ourselves, until the dates arrive.
Oscar Olivas: Okay. Is that date sometime next year, or is it this year?
Chris Bradshaw: There is a schedule. Some are within 2016, some in 2017 and beyond.
Oscar Olivas: Okay. Question regarding your fleet, can you tell me what percentage of your fleet is operating in non-oil and gas industries today?
Chris Bradshaw: On a per unit basis?
Oscar Olivas: Yes. Per unit.
Chris Bradshaw: It's a relatively small number. I don't recall the exact number of aircraft off-hand, but we do have our air medical operations on the East Coast of the U.S. We do have some flight seeing aircraft, or about 10 of those aircraft in Alaska. We also have some other aircraft in Alaska, that service firefighting and utility missions. In Spain, we have a helicopter that's dry-leased for firefighting activities. The balance of the aircraft are primarily serving the offshore oil and gas industry, including the Star Aircraft that we have in the Gulf of Mexico, which are primarily supporting our oil and gas customers.
Oscar Olivas: Okay. And then could you provide the details on which type of aircraft you sold during the quarter?
Chris Bradshaw: We did not provide the details. However, we do disclose a fleet table each quarter.
Oscar Olivas: Okay. Great. Thank you. That's it.
Chris Bradshaw: Thank you.
Operator: Next question comes from Mr. Shaun Kolnick with Senvest.
Shaun Kolnick: Hey guys, just a question on Brazil. Is that $14 million just seven 139s that you have remaining in the fleet?
Chris Bradshaw: No, we have additional 139s. We have a total of 13 139s in the country today, Shaun, and we do have seven contracts with PetroBras that you referenced. But we do work, using the 139s today with non-PetroBras customers, including other Brazilian companies as well as international oil and gas and construction companies.
Shaun Kolnick: Is that $14 million a decent run rate for the rest of the year?
Chris Bradshaw: As per our longstanding disclosure policy, we don't provide guidance. It is reflective of Q1 activity. We are involved in some other competitive processes, that would potentially add contracts for the balance of the year. But if and when we are successful in securing those, we will comment on those in the period in which they impact our financial results.
Shaun Kolnick: And the non-PetroBras business, is that all on contract through the year?
Chris Bradshaw: The contract durations for the non-PetroBras work had various maturities. So some are scheduled to expire this year, and some run beyond the end of the year.
Shaun Kolnick: Okay. And then shifting to Alaska for a minute, what do you have left there, and is that going to zero at some point this year, or does it stick around where it was this quarter?
Chris Bradshaw: So to talk about the Alaska market, I will break it down into two general categories, non-oil and gas, and then oil and gas. On the non-oil and gas side, we do have our flight-seeing business, which is a relatively stable business for us. That generally operates between May and September of each year. We sell seats -- we allocate seats for the cruise lines and their passengers, and then we make some direct sales to tourists, that are in Alaska during the summer season. We also provide firefighting and other utility services in Alaska, which tend to be much more active in the warmer months. So Q4, and particularly Q1 are very quite times for that type of activity in Alaska, given the weather. On the oil and gas side, what you have seen in Alaska and you have probably noticed this in the headlines, a lot of the major and large oil and gas companies have pulled out of the state, and are not nearly as active as they used to be. Some companies have bought their assets, which are lower tier oil and gas companies. At the same time, from an operator standpoint, we faced some competition from some smaller operators, who have bid very aggressively at prices where we just don't see returns, and we have lost some market share with the smaller customers that remain in Alaska. However, we think long term, when there is a recovery in the price of oil, when there is perhaps a change in the regulatory environment as well, that Alaska will be and remain an interesting market for us. There is a pipeline, LNG pipeline construction that's scheduled over the next few years. One advantage that we have there in Alaska, is that we are the only remaining OGP qualified helicopter operator. So when the large oil and gas companies and the majors come back into the state, to spend money on the pipeline or other projects, we feel like we are well positioned to capitalize on those opportunities.
Shaun Kolnick: Thank you.
Chris Bradshaw: Thanks Shaun.
Operator: And with no further questions in queue, I would like to turn the conference back over to Mr. Chris Bradshaw for closing remarks.
Chris Bradshaw: Thank you very much everyone for participating. We look forward to speaking with you again next quarter. Be safe.